Operator: Welcome, and thank you for standing by. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I'll now like to go ahead and turn the call over to your host for today to Ms. Deborah Pawlowski, Investor Relations for Columbus McKinnon. You may begin.
Deborah Pawlowski: Thank you, Jose, and good morning, everyone. We certainly appreciate your time and interest today in Columbus McKinnon. On the call, we have Tim Tevens, President and CEO; and Greg Rustowicz, Vice President and CFO. Tim and Greg will review the results for the second quarter and give an update on the company's outlook and strategic progress. You should have a copy of the financial results that were released this morning before the market, and if not, you can access that at the company's website, www.cmworks.com. Also on the website, in the Investor section, you will find the slides that will accompany the discussion that Tim and Greg will be discussing today. If you turn, in the slide deck, to Slide #2, you'll find our Safe Harbor statement. As you are aware, we may make some of forward-looking statements during the formal discussion as well as during the Q&A. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ from what was stated in today's call. These risks and uncertainties and other factors are provided in the earnings release, as well as with other documents filed by the company with Securities and Exchange Commission. The documents can be found on the company's website or at sec.gov. So with that, let me turn it over to Tim to begin. Tim?
Timothy T. Tevens: Thanks, Deb. That was a refreshing change for me. I appreciate that. Let me bring you to Page 3, if I could. I'd like to remind you of our long-term objectives, which include growing to a $1 billion business with about 1/3 of our revenue in developing markets and 2/3, or so, in developed markets, along with the $200 million to $300 million in acquisitions, a 12% to 14% operating margin and a strong working capital level and an overall balance sheet. We continue to focus resources and our energy in acquiring companies that strategically add market presence and product breadth to help us grow around the world to achieve these results. Page 4 provides highlights of the second quarter of our fiscal '14 year. Our gross margins expanded nicely, up 300 basis points to 31.9%, and our operating profits being flat at 8.8%, driven by productivity gains and pricing. These profits are strong in spite of a soft revenue quarter as our revenue was down 5.2%, which was negatively affected by a divestiture in volume in certain portions of our business. In emerging markets revenue continued to increase and our China sales were up nicely, 19% in the quarter, as it compared to the prior year same quarter. The U.S. revenue, excluding the divestiture, was down $4.4 million or 5.1%, but I want not make a notation here that we were up as compared to last year, if we exclude some large, heavy OEM crane business, which was a large decrease from last year, and last year was very positive, I might add. Sales outside the U.S. were down 2.5%. The bulk of which was volume-related. Europe continues to be weak, but we'll be certainly beginning to see some increased signs in quoting and other business activity. Our earnings per share for the quarter was $0.36 on a diluted share basis, up about $0.01 from last year's adjusted EPS. We have almost $112 million in cash on hand and our net debt to total cap ratio was 13.4%. Our global bookings in the quarter were down slightly, but up sequentially, from Q1. I might note to you that June and July were very poor bookings months this year, and it's nice to see some recovery as the quarter moved along. We did have some bright spots in this past quarter, including general industrial distribution, our rigging business, Material Handling Specialists, and the entertainment industry. This was offset by the cranebuilder channel, some of the catalog houses, our government business and our own cranebuilders, which was down substantially. In the U.S., our hoist business is up and our rigging business, as a component business and crane business is down. Page 5 summarizes some very interesting profitable growth activities. We launched a new ratchet lever hoist line in October. It's a great product, will certainly be more productive and safe for all of our end-user customers. We manufacture this in our Chinese facilities and we're currently expanding and localizing more of these products into China. These activities are all on-track for full completion by the end of our fiscal year '14. We do have an in-stock guarantee program that's off and running this past summer. This is in place to satisfy our customers' needs with standard products in 3-day shipments, or less, and we guarantee it. Our on-time delivery is at an all-time high of 95%, so far, in the United States. We're very pleased with our production capabilities now. We also have some new marketing campaigns in place, including products and service blogs, and target marketing to key vertical markets like oil & gas. Now let me ask Greg to bring us to some of the more details of this second quarter.
Gregory P. Rustowicz: Thank you, Tim, and good morning, everyone. On Slide 6, consolidated sales were $138.9 million, down 5.2% from the prior year period. Excluding the effects of foreign currency translation and a net effect of acquisitions and divestitures, sales declined 5.2%. While sales volume was down 7.6%, favorable pricing of 2.4% reduced the negative impact of the volume decline. Foreign currency translation was slightly positive and offset by net acquisition and divestiture activity this quarter. For the quarter, U.S. sales were down 7.1%, due to weaker sales volumes, offset, to some extent, by pricing and the impact of the divestiture that occurred last year. Sales outside of the U.S. were down 2.5% due to softer volumes primarily in Western Europe. We did see double-digit growth in the emerging markets of 10.9%, which partially offset the declines in the U.S. and Europe. Turning to Slide 7. Our second quarter gross profit margin increased 300 basis points to 31.9%, which was one of the highest gross margin levels achieved since our company went public in 1996. While sales were $7.6 million lower than the prior year, gross profit dollars were actually higher by $1.9 million. Pricing gains of 2.4% versus the prior year added $3.5 million of gross profit. In addition, the net impact of acquisitions and divestitures added $1.6 million of gross profit. Offsetting these positive factors were the impact of lower sales volumes, which negatively impacted gross profit dollars by $1.8 million. Product liability costs were also higher by $1.3 million, the result of a favorable reserve adjustment in the prior year, which did not recur in the second quarter. For the quarter, inflation on raw material cost was essentially flat with the prior year. On Slide 8, selling expenses increased 5.1% from the prior year and represented 12.4% of sales this year, compared to 11.2% last year. The increase in selling costs were primarily related to the Austrian acquisition that was completed in June of this past year and continued investments in emerging markets. G&A expense increased 12.9% from the prior year and represented 10.2% of sales this year compared to 8.6% last year. The current quarter included approximately $600,000 of onetime cost, which included personnel-related costs and professional services. Foreign currency translation had a $300,000 unfavorable impact on G&A costs this quarter. We anticipate G&A cost next quarter will be at the similar level to the current quarter as a result of higher professional services related to M&A activities, but will be lower as a percent of sales. Turning to Slide 9. Operating income decreased by 4.9% to $12.3 million, or 8.8% of sales, compared to the same level in the previous year. Despite the 5.2% reduction in sales, we were able to deliver the same operating margin percentage. The improvement in gross margin offset the higher SG&A costs noted previously. As you can see, on Slide 10, income per diluted share for the second quarter of fiscal 2014 was $0.36 per share, reflecting a $0.06 decrease from the prior year period where we reported earnings of $0.42 per share. The decrease in reported earnings per share was primarily due to the deferred tax asset valuation allowance in the prior year, which resulted in an artificially low income tax rate of 15.6%. On a pro forma basis, at our current tax rate of 30.6%, earnings per share in the second quarter of fiscal 2014 were $0.36 per share, compared to $0.35 per share in the second quarter of fiscal 2013. Our effective tax rate for fiscal 2014 is expected to be between 27% and 32%. Turning to Slide 11. Our working capital, as a percent of sales, increased to 21.5% in the current quarter from 18.3% at March 31, 2013. The increase is largely attributable to an increase in inventory for project-type orders, as well as additional inventory being carried for our in-stock guarantee program in our rigging business. As a result, inventory turns declined to 3.6x. We do expect inventory turns should return to the 4x-plus levels by year end, as projects are shipped and our inventory dollars decrease. On Slide 12, you can see that we generated $1.7 million of cash provided by operating activities year-to-date, which was down compared to the prior year. Income taxes paid year-to-date were $3.9 million higher than the previous year, as we are no longer in an NOL position in the U.S. Capital expenditures year-to-date were $8 million versus $4.1 million in the previous year. On an LTM basis, we generated $36.5 million of cash provided by operating activities and ended the quarter with $111.8 million of cash, which is net of the $5.8 million of cash used for the Austrian acquisition, which closed in June. We expect capital expenditures for fiscal 2014 to be in the $20 million to $25 million range, due to a $6.8 million manufacturing plant expansion in China, as well as capital projects that are expected to generate further productivity improvements. Finally, on Slide 13, you can see that as of September 30, 2013, net debt was $40.2 million and total gross debt was $152 million. Net debt to net total capitalization was 13.4%. In addition to having $111.8 million of cash on our balance sheet at September 30, we have an additional $91.5 million of liquidity available under our $100 million senior credit facility, net of $8.5 million of outstanding letters of credit. This facility, along with our healthy cash balance, provides significant liquidity to support our strategic growth plan. With that, I turn it back over to Tim to cover the fiscal 2014 outlook. Before we do that, let's make sure we open it up to questions. I'm sorry.
Timothy T. Tevens: Thanks, Greg. Let's spend a moment and look at our outlook on Page 14. We continue to see very positive bookings trends in emerging markets such as China, Latin America and Eastern Europe. Our North American bookings are mixed with certain target markets, such as oil & gas and entertainment, being strong and with some positive initial signs in infrastructure builds. We do feel some more capital-intensive projects are being delayed because of the economic and political uncertainty in the U.S. Although not a leading indicator, our backlog remains constant at about $92 million and, as you all know, we continue to make strategic investments in emerging markets, developing new products to help profitably grow our business. We've also performed well in improving our productivity with our Columbus McKinnon lean business system improvement methodology. We continue to execute our strategic plan in making investments in the emerging markets of the world, like China, the Eastern block of Europe, Africa and Latin America, and we also continue to look for acquisitions to accelerate our growth in those regions, as well as broadening our product offering. And with that, I'll open it up to questions. So, Jose, if you'd open up the line for questions, that would be great.
Operator: [Operator Instructions] The first question comes from Schon Williams with BB&T.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I wanted to dive into the SG&A costs, as a whole, up $2 million on a sequential basis in fiscal Q2 versus fiscal Q1, despite the fact that volumes were flattish. I know this sounds like there's some professional fees in there that will maybe carry over in the fiscal Q3. But is anything else kind of onetime-ish in nature that was in the quarter? I mean, it just seems like we've been in a fairly significant ramp-up mode on the SG&A. I'm just wondering if we should expect this trend to continue.
Timothy T. Tevens: Let me comment first and I'll turn over to Greg, Schon. We have not been ramping up. We've been pretty flat at about $30 million for the last, I'll say...
Gregory P. Rustowicz: Quarters.
Timothy T. Tevens: Yes, almost -- probably more than a year. So let me correct you on that. But this last quarter, we did see some increase, and Greg will comment on that. I'm not sure what those pieces are.
Gregory P. Rustowicz: Schon, so I think you got to break it into the 2 components. First, on the selling side, you're talking about the sequential change in selling -- in SG&A, right?
Christopher Schon Williams - BB&T Capital Markets, Research Division: Right.
Gregory P. Rustowicz: Okay. So on the selling side, all of that increase, and more, is actually due to the Austrian acquisition. And if you remember, we had 1 month of the acquisition in the first quarter, we've got the full 3 months. And so that impact was over $700,000. When you look at the G&A side of the equation, there were $600,000 of onetime costs related to personnel items and some professional services that we talked about. In addition, there were several hundred thousand dollars of incremental new product development cost in Q2 versus Q1. We had one of our SAP sites go live in the June timeframe.
Timothy T. Tevens: In June 1.
Gregory P. Rustowicz: So there was an incremental $200,000, roughly, of cost for post go live support for our ERP system implementation. And then, there would -- so that's, really, the bulk of the M&A -- or, sorry, of the G&A increase.
Timothy T. Tevens: And those would be more onetime kinds of items, Schon.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. Yes. And I guess my commentary was just SG&A, as a percentage of sales, has gone up on a year-over-year basis for the last 3 quarters in a row despite -- that's more a -- I agree with you that the absolute dollar amount of SG&A has been flat, but, I mean, you're been faced with sales declines in the 5% to 10% range. So in that environment, SG&A, as a percentage of sales, has gone up.
Timothy T. Tevens: That's right. We continue to make those strategic investments around the world. We have not stopped that in those emerging markets, Schon. We feel it's the prudent business decision to make, to continue to make those investments around the world, to grow our revenues, and we've been successful in those sections of the world.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay, that's a good color. And then, as we look into Q4, fiscal Q4, and some of the professional fees and maybe some of these other onetime fees going away, should we get back to that kind of $30 million range? Or have we set -- is there -- has the bar kind of been set a little bit higher here, even going forward a couple of quarters out?
Timothy T. Tevens: Yes, I think it's -- from a go-forward standpoint, first of all, it's our third quarter, the December quarter, which I think you're referencing. We would expect to see some additional onetime expenses come through in that quarter. But I would believe, if you look out beyond that, we would be back into the $30 million area. And I think that's what we've always guided people to think about the company, in a long-term basis, to be in this $30 million area. Once we get through these onetime costs, which is this quarter and the third quarter.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Thanks for the clarity. And one follow-up, if I may. Can we just talk about the pricing environment and what you're expecting in the back half of this fiscal year here? I mean, typically, I believe, if my memory serves me correctly, you'd be looking at pricing in Europe in the back half of the year, but then, obviously, it sounds like Europe still remains a challenging environment. Can you just talk about where we are with pricing and kind of what you see in the next couple of fiscal quarters?
Timothy T. Tevens: Sure. So as you know, historically, we are able to get between 2% and 3% of price, basically through a cycle. And I think this quarter was no exception to that. As we look to the future, though, price might be toward the lower end of that, Schon, because Europe continues to be challenged and it's a much more difficult pricing environment. In fact, we pushed our pricing in Europe out a quarter, so it's going to be a bit delayed. So I would not think about us toward the 3%, we're probably more towards the 2-ish area.
Operator: The next question comes from Jason Ursaner with CJS Securities.
Jason Ursaner - CJS Securities, Inc.: Just first question on the U.S. I think you had mentioned that volume actually would have been higher, year-to-year, without the heavy OEM and crane business. So I was just wondering if you can quantify how the rest of the business was actually growing, year-to-year?
Timothy T. Tevens: Yes, our hoist business actually did quite well in the quarter. Well, it's single-digit kind of growth in a very uncertain world we live in, in the U.S. Oil & gas is pretty good, entertainment was reasonably good, but general manufacturing seemed to be soft for us. And I would say that this heavy OEM business, where we sell some of our cranes and hoisting products to some very significant corporations that have really scaled back their investments, not only in the U.S. but around the world, and that had a dramatic impact on us. If you kind of remove that large, heavy OEM customer of ours, you will see that we actually grew low-single digits.
Jason Ursaner - CJS Securities, Inc.: Okay. And was the majority of that impact in the second quarter or that has been...
Timothy T. Tevens: It's been going on for 2 quarters now. It's been a bit longer than that.
Jason Ursaner - CJS Securities, Inc.: And in terms of the comparable? I mean, is that going to continue in the back half?
Timothy T. Tevens: Yes, Jason, this is going to be difficult for us for another couple of quarters, I would say, at least.
Jason Ursaner - CJS Securities, Inc.: Okay. And the emerging markets, obviously, you guys quantified the revenue there. Can you talk maybe about the gross margin you see in that piece of your business versus other more mature geographies around the world?
Timothy T. Tevens: Yes. Latin America's gross margin is about the same as you would see in North America. Same would be true in the Eastern European sectors. I would say that China might be a bit lower, and the reason it is, is because of the fact that our guys there, our guys and gals there, sell our product that is made in America and they have to be competitive in the Chinese markets. And we have to export it, by the way, ship it across the ocean, it's a little more costly to operate there. Until, Jason, we ramp up our strategy of building our facilities more broadly and being able to produce more product into China, we'll still have margin pressure in China. But I think that, as we build out these facilities, now we're in the midst of that, and we should be done with that buildout at the end of our fiscal year, we'll have more capability in China to build the product to be sold into China, and then the margins would look more equivalent what you'd see at Columbus McKinnon as a whole.
Jason Ursaner - CJS Securities, Inc.: Okay. But the pricing environment in Asia really isn't -- I mean, there's nothing structural, once you can get it made there, that would keep that from getting more in line with corporate margins?
Timothy T. Tevens: Correct. The prices are lower, but our cost will be lower as well, and therefore, the margins would be similar to the corporate margins.
Jason Ursaner - CJS Securities, Inc.: Okay. And I understand that you guys have been, obviously, investing a lot in emerging regions, ahead of the curve, to kind of accelerate the growth there and capture market share. Can we get some better sense of the magnitude of what that platform would cost, from an operating expense perspective, and how much more additional investment would you need there once revenue actually starts to show a more significant ramp?
Timothy T. Tevens: That's a great question, Jason. We're beginning to see, in China, that we have a solid selling and G&A structure right now in place, in China in particular, with 30 salesman, over 20 application engineers, a solid management team on the ground running this business. That we think that that's fairly well set now for the next -- foreseeable future. We build our strategies out, and I think there's a little bit more investment to come. But the bulk of the investment has been made and in place. Now we just need to continue to see the revenue grow, like we have in the last year or so, at the same pace. And it will grow into that very nicely. And then, I think, if you look out a couple 3 years, it'll have to be adjusted again, in the future. And as we grow the revenue and we want to cover and blanket more of that market, we'll have to add the selling expense, in particular, at that point in time. When you look at the rest of Asia Pacific, I think we have some work to do there. Not significant amount of headcount, but just better coverage in Southeast Asia, in particular, where we have some salesmen on the ground, but I think we need a better presence in places like Indonesia, Malaysia, Australia, to name a few. So from a quantification standpoint, I don't have a number in my head, but think of maybe $2 million, $3 million kind of ballpark in that part of the world. Latin America, we have a stronger presence because we've been longer, by the way. We've been in Latin America, we've been in Mexico since '75 and Brazil, since the late -- mid 90s, with our own presence there since the late 90s. So that has a little more maturity to it and a little more -- stronger presence that we can build upon and then more stable from an SG&A standpoint. And the same is true with the many parts of Europe. South Africa, in particular, we've had a great presence there for many years. The Eastern block of Europe, too, we have a nice presence in most of the countries. And the buildout really is these unique sales offices like Turkey and Dubai and Morocco, where we never had a presence, but now we have of these offices with -- think about several people in each location. That's not the huge investment either.
Operator: The next question comes from Joe Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: Just a couple of questions on the gross margin. So just wondering, just sequentially, if you look at the last couple of quarters, you continue to do sequentially -- are able to increase the margin, and I know you talked about the year-over-year comparison in the slide deck. I'm just wondering, it seems like -- just from first glance, from the numbers that you put out there, it seems like price benefit, obviously, the divestiture, as well as possibly product mix, have been fairly consistent with the past couple of quarters, but you're still seeing significant sequential expansion on the gross margin, despite sales being flat to down. So I'm just wondering, if you could talk about those factors and sort of if you expect of this sort of sequential expansion on the gross margin to continue, if, in fact, you were to see flat sales, going forward?
Timothy T. Tevens: Yes, a good question, Joe. I'll take a shot it and then I'll ask Greg to comment, if I miss anything. Yes, as we look at our business, I would say a couple of things. First of all, you are seeing price come through and very moderate inflation in some products and commodities we buy, actually, a bit of a deflation. So there's certainly some margin improvement in that regard. I would say that our product mix continues to be a favorable -- as our hoist business, in particular, in the markets where we have this #1 position grow, our operations are able to take advantage of that volume. In addition to that, Joe, what I'm seeing is, our operations actually performing much better. And I attribute that to our lean business system and our ability to get productivity, month-in and month-out. We got a lot of people working on many improvement jobs -- projects, that continue to drive our margins in a positive direction. I also think, to a degree, we're leaning on the work we did several years ago to rationalize our facilities, when we shut down 3 of our major operating plants, in particular, the hoist business, we closed the plant, that was about 440,000 square feet. That's a lot of fixed cost out of the system. And as their revenue ramps up back to the peak levels, you get some pretty good solid operating leverage with the lower fixed cost structure. And that's what we're seeing as well. So I think there's these multiple facets and multiple positive benefits that we're all seeing right now. Do I expect it to go forward? I certainly expect our productivity to continue to go forward. That's an effort that's been underway for many years and we're not going to stop that. You know, Joe, that our company is -- generally, had price increases. And I would expect us to have some level of price increase. Historically, we do that as well. What I don't see, have a clear sense for you, that is inflation. I think it will be moderate in the near term. But as economies change and heat up, and things may change around the globe, as you know, we have seen inflation come at us. That maybe an offsetting entry, hard to say, as we sit here today and look out into the future, but that could possibly have an impact on us.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just in terms of the gross margin. I was wondering if you could just talk about, geographically, what is your gross margin profile around the world. I imagine the U.S. is higher than most regions. If a lot of the growth is coming from emerging markets, do you, in fact, see, at all, any lower margins in those regions? Or if you could just talk about the geographic profits.
Gregory P. Rustowicz: Yes. So Joe, when you look at our gross margins, by region, in the U.S. and Latin America, they are, essentially, the same, very close. Europe is not far off of that. As Tim had mentioned earlier, our Asia-Pacific business has a few margin points lower, gross margin, overall. But one of the things that's different this year, compared to the past, when we were investing for growth, our Asia Pacific business, which used to be run at, pretty much a break-even level, at the operating margin line, is actually, now, contributing positive operating margins. Still not at the corporate levels, but we're making good progress and we think, with the investment and the manufacturing assets that is going to be done at the end of the fiscal year, that will further allow us to expand our operating margins in Asia.
Operator: [Operator Instructions] We do have a follow-up from Schon Williams with BB&T.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Wanted to address the M&A pipeline. Can you just talk about what you're seeing out there, in terms of looks at deals? And then, could you address maybe the situation with Crosby and does your outlook on that competitor change, now that it's in different hands? Any thoughts there would be appreciated.
Timothy T. Tevens: Yes, Schon. Let me take those one at a time. First question was M&A activity. As you well know, we have a strategic initiative to spend a lot of time targeting companies. And we have a team of folks that spend time around the world identifying opportunities for us to look at, and these are companies that are, typically, small in nature, typically family-run and, generally, not for sale. So we continue to make good headway there, have multiple conversations. The pipeline has actually broadened a bit, I'd say. It's a little more -- there's more opportunities, given our activities. Nothing to report just yet, but we continue to work on that targeting effort, that's unchanged. The Crosby situation, in particular, which was, I think, there was an announcement out, it was sold, recently, from a one PE firm to another PE firm, that, I think that, from a competitive standpoint, that asset will -- they'll continue to do good work, it's a solid competitor of ours, in a very narrow niche of our rigging business. Keep in mind, we are, mostly, a hoist company. And they are mostly forging, rigging tool kind of company, that's a smaller section of our business. And they will continue to do their good work around the world, they're mostly oil & gas-centric and mostly North American-centric as well. I don't expect them to change their trend and their behavior and their investments that we see around the world. I expect them to continue to do the things they have always done with some added pressure. There's going to be some additional leverage on that company that they've never seen before. And I suspect that there may be some pressure to generate free cash and delever that company, and pay their share holders may be differently than the last shareholder group. So I don't expect a difference from a competitive standpoint, at all.
Operator: The next question comes from a follow-up as well from Joe Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: I just wanted to address sort of the volume declines that you've been seeing, which -- not surprising that we're seen some organic declines in this type of environment, but really just the magnitude that seems to be a little higher than -- or the declines are larger than some of the -- maybe your peers. Just talking to the general industrial space, generally. Just seems a little larger. So just wondering if you could sort of comment on what's driving such a large volume declines? And, I guess, mainly it's in the U.S. So I was wondering if you could just comment on sort of where you're seeing, and maybe why, that big of a decline in the volume.
Timothy T. Tevens: Yes. Let me see if I can do this again. Two major pieces. The number one piece that we see in decline is our crane business, that sold to a couple of major heavy OEM kind of companies, where last year was spectacular business. I'm talking like through-the-roof, best business we've seen, ever, out of this crane business, to one where it's gone. It's, basically, the business is, I'll say, cut in half, for all intents and purposes. That's the largest shrink that you're seeing at our top line. The rest of the business, Joe, that you know us for is our hoist and rigging tools, is flatfish, if not up slightly. Okay? The other part of it is certainly Europe. The recession hit our business later than maybe -- it might have hit others, I don't know who you are referring to, but we saw decline starting, I'd say, the last summer and then through the fall, in our European business. And it seems to have bottomed as we sit here today and look backwards. It seems to have bottomed in the summer time, this past summer. And now we're seeing some sequential growth in our European business, ever so slightly, but our bookings and our activity, our quote activity, seems to be have improved. And that would be a second shrink of the top line, and that's directly related to the, I would point toward the Eurozone recession, in particular, Germany, where we have most of our business, the U.K. and France. But as I said, it seems to be recovering. The first instance, the crane business doesn't seem to be -- and I don't thinks it's going to recover for a while.
Joseph Mondillo - Sidoti & Company, LLC: So just talking about the crane business, what -- is that -- do you normally do business with 1 or 2 customers? Or is it just a flood of customers because of the environment for whatever reason? And in that case, what is the sort of the driving factors for that business and why is it so weak? I'm just trying to understand.
Timothy T. Tevens: Well, I'm not going to give you any names of customers, okay? Because I've been...
Joseph Mondillo - Sidoti & Company, LLC: No, I was just wondering if that's like one, do you only sell to 1 or 2 customers? Or...
Timothy T. Tevens: Yes. It's 3 or 4 major customers out of that business. And all 3 or 4 are off significantly.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then, is that just the nature of their particular business? And not doing as well as maybe some other industrial customers? Or is there...
Timothy T. Tevens: Yes. That's the case, yes, that's exactly the case. And, I mean, if you think deeply about it, there are some sectors in the general economy, mining being one, ag is soft, construction is way off. And people who provide to those industries are way off as well. And as a result, they're not investing in their equipment, their lifting equipment. They don't have as much activity, which drives our business to a large degree. So as a result of their lack of activity, we don't have the same activity, either. Where last year we saw some pretty good business, now, we see very little. So it's very specific and very targeted. A couple of key end-users that we have that just don't have the same level of activity.
Operator: The next question comes from Peter Van Roden with Spitfire Capital.
Peter Van Roden: Just a quick question, just broad brushstrokes, what is the margin in the crane business versus something like the hoist business?
Timothy T. Tevens: Yes, we don't provide that, disclose that information at that level of detail, Peter.
Peter Van Roden: Okay. And then, generally, I know Joe just got into this, what would you have to see -- like, what should we be looking at, on a more macro level, to see that business start to come back?
Timothy T. Tevens: I think you need to see commodities turn, I think you need to see the construction industry turn, to name a few. And to see more robust activity in those sectors of the world.
Operator: The next question comes from Bob Franklin [ph] with Prudential Financial.
Unknown Analyst: Just a clarification. You sold the crane business a year ago, right?
Timothy T. Tevens: Yes, we sold a portion of it a year ago. The portion that serviced the general industry in the Texas, Oklahoma, Louisiana area. This is the remaining portion.
Operator: We do have a follow-up from Jason Ursaner with CJS Securities.
Jason Ursaner - CJS Securities, Inc.: Just wanted to, I guess, clarify on this a little more. Because mining aggregate and construction are also fairly key verticals for the hoist business, so is it more a cyclical element related to those customers' CapEx spending? Or you're also seeing, obviously, not to the same level, but similar type of pressure on those verticals in the hoist business?
Timothy T. Tevens: Yes, good question. So this crane business has these end-users that are very tied to those sectors of the economy. So it's really hurting those end users and, therefore, our business to supply them with hoist and cranes, in a very particular circumstance. As we look around the world, and as you know, one of our key verticals is mining, and some of the mines that we service, for example, in South Africa, the gold, platinum, palladium mines, their activity is down as well. So that portion of our business is, I'd say, flat. Because as they operate a mine, they still have to do some level of inspection and repair of our hoists. So we get that business as well. But for the most part, those industries are also negatively affecting our hoist business, but not nearly to the same degree. Our vertical focus, on oil & gas, mining, to name a few, construction, are very -- are working well, and they're new for us. As you know, we started this in the last year, a year or so, I'd say. And that effort for our team to go out and really apply our product into those key verticals has been a fabulous increase in our revenues, in those particular verticals. And we're going to continue to do that.
Jason Ursaner - CJS Securities, Inc.: Okay. And then, just wanted to follow-up on a, I think, a comment was made before, that Asia is actually contributing positively to operating profit?
Timothy T. Tevens: Right.
Jason Ursaner - CJS Securities, Inc.: I guess, I just want to make sure I heard that.
Timothy T. Tevens: Yes, you heard that right, Jason.
Jason Ursaner - CJS Securities, Inc.: We followed the SG&A or that's kind of x a corporate level that's targeted in Asia?
Timothy T. Tevens: No, that's the what -- the entire SG&A cost of that business, that's correct. That's a positive operating income.
Jason Ursaner - CJS Securities, Inc.: Okay. And just as you think about incremental operating leverage, obviously, you have made the investments there ahead. When you talk about the 30% targeted leverage, what type of rates do you expect to see from China, specifically, but also all the emerging market regions that you're serving, where you, obviously, there's a greater percent of the SG&A platform in place at this point?
Timothy T. Tevens: I don't have the number on the top of my head from leverage from those sectors. But I would expect them to be in the same ballpark as the corporation would be, as they go forward and their revenue grows that we'd see the same 30-ish percent that we've spoken to in the past.
Jason Ursaner - CJS Securities, Inc.: I guess, I'm just wondering why wouldn't something like China have a much higher incremental operating profit, if the cost platform is sort of already there?
Timothy T. Tevens: Because the sales price is going to come down as well to offset that.
Gregory P. Rustowicz: So Jason, Greg. We had talked about earlier on the call, the fact that Asia's gross margins are below the rest of the world. And so that's part of the reason why.
Operator: There are no other questions in the queue at this time.
Timothy T. Tevens: Great. Thank you. I appreciate that, Jose. Let me summarize by saying, we do expect some modest level of revenue growth, and we are beginning to see improvement in the bookings, as we talked about earlier. Our profits should continue to improve as our lean business system, the results of our fixed cost reductions of several years ago, and good cost control bear fruit. Our investments in emerging markets continue to be successful and we expect the European recovery will most likely be slow, but, however, are buoyed by the more positive order activity, as of late. We remain positioned to continue to execute our strategic plan, to profitably grow our business as we have about $112 million of cash, $100 million revolver. We continue to have multiple acquisition discussions with businesses that can add strategic value to our company, and we also continue to make strategic investments in selling into emerging markets, as well as investing in new products and services and productivity-enhancing equipment in our facilities. I'd like to take this time to also thank all of our associates around the world for their dedication to excellence and making our company stronger and a market-leading organization. And as always, we certainly appreciate your time today, as well. Thanks very much.
Operator: Thank you for your participation in today's conference call. The call has concluded. You may disconnect at this time.